Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2015 CF Industries Holdings Earnings Conference Call. My name is Carmen, and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of the presentation. I would now like to turn the presentation over to the host for today, Mr. Dan Swenson, Treasurer. Sir, please proceed.
Daniel Swenson - Treasurer: Good morning and thanks for joining us on this conference call for CF Industries Holdings, Inc. I'm Dan Swenson, Treasurer. And with me are Tony Will, our President and Chief Executive Officer; Dennis Kelleher, our Senior Vice President and Chief Financial Officer; Bert Frost, our Senior Vice President of Sales, Distribution and Market Development; and Chris Bohn, our Senior Vice President of Supply Chain. CF Industries Holdings, Inc. reported its first quarter 2015 results yesterday afternoon, as did Terra Nitrogen Company, L.P. On this call, we'll review the CF Industries results in detail and discuss our outlook, referring to several of the slides that are posted on our website. At the end of the call, we'll host a question-and-answer session. As you review the news releases posted on the Investor Relations section of our website at cfindustries.com and as you listen to this conference call, please recognize that they contain forward-looking statements as defined by federal securities laws. Actual results may differ materially from those projected as a result of certain risks and uncertainties, including those detailed on slide two of this webcast presentation and from time to time in the company's Securities and Exchange Commission filings. These forward-looking statements are made as of today, and the company assumes no obligation to update any forward-looking statements. Now let me introduce Tony Will, our President and CEO.
W. Anthony Will - President, Chief Executive Officer & Director: Thanks, Dan, and good morning, everyone. Yesterday, we posted our financial results for the first quarter, in which we generated $486 million of EBITDA and $4.79 in earnings per diluted share. Our first quarter was about three things: great operations, a strong order book and cash deployment. This enabled us to deliver roughly $500 million in EBITDA, even in a quarter characterized by cold wet weather, which delayed applications; and abundant nitrogen imports, which put pressure on prices. The global cost curve continues to demonstrate its reliability, and CF Industries continues to deliver significant cash flows. Now let me provide a little more color on our execution this quarter. We had a really strong operating quarter, with our ammonia plants running at a system-wide capacity utilization rate of 99%, even with a major turnaround at our Verdigris, Oklahoma facility. While delivering strong production numbers, importantly, we ran our business safely, achieving an all-time record safety performance with our 12-month reportable incident rate falling to 1.1, its lowest level ever and well below the industry average of 2.8. We had a strong order book coming in to 2015, which enable us to realize attractive average prices for our products relative to market conditions. Our average ammonia price was 15% higher than last year, due to a tighter market in our decision to forego some less-attractive sales in the middle of winter in order to have the inventory available for spot sales in spring. Our UAN prices were relatively unchanged as, again, we held back from less-attractive winter and early spring sales, choosing instead to wait for the application season demand to emerge. And while our urea prices were lower on a year-over-year basis, we were pleased with the decision we made in the fourth quarter to lock in forward sales at prices that were very favorable compared to how the market developed in the first quarter. We continue to have a cost advantage from low prices of North American natural gas. Although the weather was nearly as cold as last year's record-setting winner, natural gas prices have continued a downward trend. With production growth and an abundant level of gas reserves, both spot prices in the NYMEX forward strip are well below where they were this time last year. Accordingly, we have decided to lock in 50% of our total gas needs at these low prices through the end of the year and have hedges in place for roughly 15% of our gas requirements for the period January to October of 2016. Dennis will provide additional color on our gas hedging in a moment. Work is progressing well on our expansion projects at Donaldsonville and Port Neal. Our urea plant at Donaldsonville is expected to begin production during the third quarter of this year. The structural steel and vessel installations are essentially complete, along with over 70% of the piping. The vast majority of steel for the UAN plant has been erected and the piping is well underway. And we are confident of a fourth quarter start-up target for that plant. Work on the projects continues to be in line with our last cost projection of $4.2 billion, plus or minus a few percentage points. Additionally, we invested in share repurchases during the quarter. We became more comfortable with the projected timing and levels of our cash outflows for the balance of the year on the expansion projects. This allowed us to comfortably restart our share repurchases, which was timely, given that our share price had dropped below $300, even further below our view of intrinsic value. We repurchased 812,000 shares during the quarter and an additional 493,000 subsequent to the end of the quarter. Additionally, we increased our revolving credit facility from $1 billion to $1.5 billion, providing us further liquidity. As indicated on slide 12 of the deck, these repurchases have contributed to an increase in our nitrogen capacity per 1,000 shares, which was about 53 tons prior to the Terra acquisition and stands at 143 tons today. By the middle of 2016, including the production from the expansion projects, this will increase to 180 tons, with additional upside from potential future share repurchases. Now let me hand the call over to Bert to walk through our sales results for the quarter. Bert?
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Thanks, Tony. We are pleased with our sales results for the first quarter of 2015, as it showed the benefit of how we manage our business depending on varying market conditions. Our ammonia segment had lower sales volume when compared to the first quarter in 2014. Since we had lower inventory available coming into the quarter, we decided to maintain some of it across the seasonally weak months of January and February. That decision benefited us in April, as we saw strong demand emerge. And we were actively shipping ammonia to customers during that time period. Although our sales volumes decreased, we had much stronger average sales prices this year, due to the industry having a tighter North American inventory balance than in the first quarter of 2014. We sold a significant amount of ammonia into this market and as a result, we're able to realize an average price of $542 per short ton this year compared to $472 last year. Our urea volume increased in 2015 compared to 2014. We believed prices were attractive early in the quarter, so we took advantage of available inventory and sold it during a time of favorable pricing conditions. Throughout the quarter, urea prices declined at the U.S. Gulf in association with high global supply and a notable increase in Chinese exports. In response, we used our logistical assets to move products to regions we felt offered the most attractive pricing opportunities. The strong order book we had coming into the quarter and the decisions we made about when and where to sell our products allowed us to realize an average urea price of $344 per short ton. Our UAN segment had sales volume that was slightly lower than the prior-year period, as we had fewer attractive sales opportunities where product was readily available. Our average realized price was in line with last year, as the UAN market was relatively stable and traded at strong unit level premiums to urea. As we look to the second quarter, we are enthused about our prospects. Shipments have been brisk during the past several weeks, as farmers progressed with field work. Ammonia demand has been strong, as farmers seek to make up for a shortfall in fall 2014 ammonia application. Pricing conditions have been attractive in association with this strong demand. The urea markets saw a reduction in global prices from January through April, due to continued high production and exports from China. With U.S. Gulf prices trading down to an average of $280 per ton at the end of March, we believe a significant number of marginal producers, especially in China, are not able to cover their cash costs. This view held true, as show in the April Indian urea tender, where Chinese producers did not offer supply at prices they deemed too low. Urea pricing recovered somewhat after the tender, moving up to $300 – maybe even to $325 per short ton in NOLA by early May. We believe that the cost curve continues to hold and observe that occasionally, prices will dip below the theoretical floor, similar to what we saw in October of 2013. And then, when those marginal producers slow down shipments, it creates the condition for a price recovery. UAN shipments should be robust this spring, due to good overall nitrogen demand. With deferred fall ammonia applications and the relatively tight ammonia market, we expect that UAN will be the product of choice for farmers' nitrogen needs. However, the decline in prices in the urea market is expected to weigh on UAN prices as well. We entered the second quarter with a favorable order book, and we'll continue to take new orders as we progress through the quarter and into the fill season. We normally don't speak to the second half of the year on our first quarter call, but I will make the observation that with the start-up of our new urea and UAN plants in Donaldsonville, we will have less net ammonia available for sale in Q3 and Q4. This will allow us to make decisions with our customer and sales mix to make sure we are realizing the highest value available for our ammonia inventory. As always, we will balance our production mix based on product prices in order to maximize our earnings. Now let me turn the call over to Dennis.
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Thanks, Bert. We had a good operating quarter, as evidenced by our 43.6% nitrogen product segment combined gross margin, $486 million of EBITDA and $4.79 of diluted earnings per share. A few discrete items impacted the year-over-year comparability of our EBITDA. These include the losses we had on foreign currency derivatives this year compared to the gains we had on those items last year. Largely offsetting these was the swing from a mark-to-market unrealized loss on gas derivatives last year to an unrealized gain this year. Our ammonia segment cost of sales is reflective of the price of natural gas that we purchased and used in the fourth quarter to produce ammonia inventory that was sold in the first quarter, as represented on slide six. Our reported ammonia segment gross margin percentage was also negatively affected by ammonia that we purchased at market prices from our Trinidad joint venture, and then resold to Mosaic at similar market-based prices. We had a full quarter of these sales in 2015 compared to only a partial quarter in the prior-year period. The profit from the production of this ammonia continues to reside in the equity and earnings of operating affiliates line of our income statement. In the first quarter, we had realized losses on gas hedges of $33 million. These hedges were entered into during the third quarter of 2014 when gas prices were near $4 per MMBtu. However, as gas production increased and spot and NYMEX prices decreased, we benefited, as the first-of-month settlement prices dropped to around $2.50 per MMBtu at the beginning of April and May. We believe North American gas producers have exceptional efficiencies and are driving innovations to continue increasing their production capacity while decreasing their costs. However, as Tony mentioned, we also believe that the current gas price environment presents a good opportunity to take some cost risk off the table for the rest of 2015. In accordance with this view, we decided to hedge 50% of our total gas needs for April through December, with 4.2 million MMBtus per month or about 20% of our needs hedged with collars between $2.30 and $3.20 per MMBtu and 6.5 million MMBtus per month or about 30% of our needs swapped at $2.86 per MMBtu. Additionally, we believe the forward curve out into 2016 also looks compelling at this time. We have chosen to hedge about 4 million MMBtus per month for January through October of 2016 with an average strike price of $3.04 per MMBtu. We continue to monitor and evaluate the gas market and will look at appropriate additional opportunities to hedge our gas exposure. The decline in our gas costs has been coincident with the decline in oil-based energy costs worldwide. Oil prices have since stabilized around $65 per barrel Brent. While the decline in oil prices is providing some cost relief to producers buying gas on oil in contracts, these producers are not the marginal production for urea. That continues to be Chinese producers using anthracite coal, which at recent mine mouth average prices of about $130 per metric ton, has been relatively stable. Our capital expenditures during the quarter totaled $445 million, with $318 million spent on the expansion projects. And as Tony highlighted, as of May 1, we have repurchased about 1.3 million shares since the beginning of the year. We returned $377 million to shareholders through these repurchases and further increased our nitrogen capacity to about 143 tons per 1,000 shares. With that, Tony will provide some closing remarks before we open the call to Q&A.
W. Anthony Will - President, Chief Executive Officer & Director: Thanks, Dennis. We delivered strong results in the first quarter, despite difficult weather and market conditions. And we are well positioned for another strong quarter in Q2. The global cost curve continues to provide an accurate model of how the industry operates, and North America is clearly the advantaged location for nitrogen production. We are executing well, and our business is producing reliable, sustainable cash flows. We are delivering on our strategy to increase cash flow per share by increasing nitrogen capacity per share, which will see a dramatic increase as we bring on our new capacity additions beginning in Q3 of this year. Although our shares have dramatically outperformed all of our peers, as shown on slide 13, given the substantial growth in nitrogen capacity per share we are about to experience, there is still an awful lot of runway left for us. Finally, I would like to congratulate and thank our operating team and the plants and distribution facilities for keeping their eyes on the tasks at hand and keeping themselves and each other safe. It is a great accomplishment to work safely while running our facilities as hard as we are. Keep up the great work. With that, we will now open the line to answer your questions. Operator?
Operator: Thank you. As a courtesy to others on the call, we ask you to limit yourself to two questions. Should you have additional questions, we ask that you reenter the queue, and we will answer additional questions as time allows. And the first question comes from the line of Vincent Andrews from Morgan Stanley.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Thank you and good morning, everyone. Can I just ask you, as you think about what's happened with Chinese exports this year and the change in the tariff policy or the lack of a seasonality to it, right, so it's flat all year long. Do you envision, one, that exports will decelerate as we move through the year? And two, just as we saw probably weaker pricing in the first quarter as a result of an increased amount of exports, if we see fewer exports year-over-year in later periods – and I'm thinking maybe during fill season – do you think we'll have less of a sort of a price decline during seasonally weak periods of time? I hope that makes sense.
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Good morning, Vincent. This is Bert. And so it's been an interesting development over the last several years as the Chinese exports have consistently ramped up, peaking last year, we believe. And then the changes that are taking place within China relative to the tariff change, electricity costs, freight costs and then currency issues. And so when I look at what could happen in the coming months with exports being stable, with 4.4 million tons coming out in the first quarter, I would expect it to be a little more stable and probably less. Well, with their lack of participation in the tender and then now trying to set a price floor, it looks like there's some probably more ratable nature taking place within the Chinese production community. And so in terms of fewer exports or in the later periods and supporting a fill price, I think you're spot on. I think from what the expectation was probably in March, which was the floor of the market to what fill will be to probably what reality will be in Q3, will be at a higher level.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Okay. And if I could just ask you, I picked up from one of the trade publications that maybe some of the rainy weather near Donaldsonville had maybe pushed back the start time of the urea facility. Is that correct or incorrect?
W. Anthony Will - President, Chief Executive Officer & Director: Well, good morning, Vincent. Obviously, when it's real soupy in D'ville, it's hard to get as much progress as we'd like. But we are still absolutely committed to a Q3 start-up, and there's nothing out there that would suggest anything different than that to us today. It might have moved it a week or two later in the quarter than what we had originally desired. It doesn't change the overall sort of rough timing of a Q3 start.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Okay. Great to hear and great job on the execution. It's really great. Thanks.
W. Anthony Will - President, Chief Executive Officer & Director: Thanks.
Operator: And our next question comes from the line of Don Carson from Susquehanna Financial.
Don D. Carson - Susquehanna Financial Group LLLP: Yes. Thank you. Bert, a question on your forward order book. You mention that your book is well priced and certainly above some of the lows that we saw in New Orleans. I think you mentioned $280 short ton NOLA on urea. We've obviously seen a nice rebound in pricing. I think there's a barge yesterday at $335. So how does your book compare to current spot prices? Is it reflective of those current spot prices? And it sounds like you position yourselves that you got a lot of inventory to take advantage of the spot uptick.
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Yeah. So probably not going to give exact numbers, but we're pleased with that order book because as I mentioned in my prepared remarks that we did stay out of the market and kind of set on the sidelines during the market lows. And we've seen, I think, an unexpected, relative to the industry and where inventory was positioned, a nice price increase. And so the price that you quoted, $335 is reasonable for a spot barge in May. And we're even seeing positive pricing out into June and into late June. And so how does our book compare and with the current market? I think favorably. And we do have inventory, and we're selling into this market and anticipate it to continue probably through June and a little bit later, especially into Indiana and some of the pivot areas through UAN.
Don D. Carson - Susquehanna Financial Group LLLP: Okay. Just a follow-up for Tony on share repurchases. Last quarter you, were a little hesitant to repurchase shares until you felt better about the expansions, which – or at least that's what you said on the call. But as you felt better of the completion, does that mean we can look forward to an acceleration of share repurchase? Or are there any other constraints such as debt levels and ratings that would cause you to hold off on the rate of share repurchase in the current quarter and the balance of the year?
W. Anthony Will - President, Chief Executive Officer & Director: Good morning, Don. So as you know, the latest repurchase authorization that we're operating under was put in place last July, and it was for $1 billion that run through 2016. We've got about $250 million left on that authorization today. And we're going to go ahead and continue to make as rapid a progress on that as we can, given threading the needle on the issues that you talked about, which is maintaining appropriate liquidity and kind of getting through the discussions with the agencies. As Dennis mentioned last call and we continue to be focused on, we'd love to go ahead take out some additional debt associated with the new cash flow that's coming on stream with the expansion projects and put that to work at share prices that are woefully low right now and vacuum up as many of those as we can. So we haven't changed our strategy with respect to that.
Don D. Carson - Susquehanna Financial Group LLLP: Okay. Thank you.
Operator: And our next question comes from the line of P.J. Juvekar from Citi.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Yes. Hi. Good morning.
W. Anthony Will - President, Chief Executive Officer & Director: Good morning, P.J.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Last quarter and even this quarter, you talked about stability in Chinese anthracite coal prices. But the data I've looked at year-to-date, I think anthracite coal is down 10%. Thermal coal is down even more. So maybe there's a difference in data. But what do you think is the cash cost of anthracite coal – urea cash cost of anthracite coal-based producers? Thank you.
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Yeah. P.J., this is Dennis. We're looking at about $130 at a mine mouth cost right now. And if you look at the slide, I believe it is on page – just grab it here for you – look at the slide on page 10, okay? What it shows there is it's about – it says $132 per ton. It takes approximately 30 MMBtus to 35 MMBtus per ton – or MMBtus per ton of urea of anthracite coal to make it. And our view is that at the transport cost from mine mouth to the plant is probably, on average around $15 per ton. So if you look at the mathematics there and you add all that up plus the transport to the coast, it's probably going to come in around $310 per short ton NOLA would be the cost of Chinese producers at the current coal prices that we see.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Okay. Thank you. That's very helpful – go ahead. Sorry.
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: No. Go ahead.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Yeah. So my second question was, you guys make a lot of money by making these in-market decisions about when to sell ammonia, urea, UAN and what to sell, the basis difference and all that stuff. That expertise allows you to make more money than you would otherwise make. How do you make those decisions? Is that institutionalized, the process, or is that just Bert making all the calls?
W. Anthony Will - President, Chief Executive Officer & Director: That's why Bert gets the big money. No. So Bert and his team – and I'll turn it over to him just momentarily here – but we take a very analytical approach to kind of understanding where the market sits. So we try to understand all the factors that go into it. What cash costs are in other parts of the world, what import levels look like coming in to the U.S., what demand centers there are outside the U.S. to soak up some of those tons that are moving around the globe. What producer and downstream inventory positions are, and how many acres are going to be planted and what demand looks like and how we see it developing. And so Bert and his team take all of that information and put together kind of their view of demand and where they think prices will settle, and then they build the book around and take our positions based on that information. And it just turned out to be prophetic in that approach. It's easier for me to compliment you to have to do it yourself.
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Very nice. I think we have a very good team. And the team is united around many of the same issues, and we have a process that's been developed over the years where it's a quantitative view of the market. And the market is an international market. It's not a market share issue. It's not a North America market, but we're playing in a world market and the team is broad. We have people all around the world through KEYTRADE and as well as with our domestic team with different levels of experiences. But it starts with supply and demand. And then you work your way through from distribution to the international markets to storage assets and distribution capabilities, with different modes and freight options and arbitrages that are available. And then you have to bring in the whole customer dynamic of psychology and thinking around and risk and reward as well as timing with what they're thinking, acres. And then the last one is probably our production options on. We have many different products or legs of the stool that our company stands on with urea, ammonia, UAN, ammonium nitrate, DEF. And so when you look at the production mixes, that gives us a lot of optionality and we're building even more advantages into the company with these new production plants. And so when you put that all out before you and you have those types of choices, it allows us to be successful. And we enjoy the position that we have.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Thank you for the detailed color. Thanks.
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Yeah.
Operator: And our next question comes from the line of Adam Samuelson from Goldman Sachs.
Adam Samuelson - Goldman Sachs & Co.: Yes. Thanks. Good morning, everyone. Maybe first question for Dennis on the gas hedging going a bit further out on the gas hedges, both in 2015 and 2016, than has been the recent experience. And maybe at a higher-level walkthrough kind of the institutional approach to gas hedging. And is it just a market view on the natural gas market or the risk approach on your cost base? Walk us through the considerations you make when you step further out on the hedging.
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Adam, I'm going to go ahead and ask Chris Bohn, who's with us on the call today, who handles all of our gas procurement and supply logistics to address that one.
Christopher D. Bohn - Senior Vice President-Supply Chain: Yeah. Good morning, Adam. As far as our philosophy on natural gas hedging, it really hasn't changed. We believe that there's still very strong North American natural gas fundamentals, and that's due to the immense resource space we have and then the declining production costs that we're seeing specifically over the last six months. And if you recall, our strategy is really underpinned by two points. One is to mitigate risk. And a lot of the hedging we did last year was to mitigate the weather risk when we see saw some of those drastic spikes. And then additionally, was to lock in attractive prices. And I would say that's really where, given the strong fundamentals and the flattening of the curve, where we're participating today. The positions we have in place for 2015, we feel very comfortable with where we're participating all the way down to $2.30 for 70% of our production requirements. So that's great. Looking out into 2016, we just saw some very attractive rates at the $3.04 and decided to move in to those.
Adam Samuelson - Goldman Sachs & Co.: Okay. That's very helpful. And then maybe a second question on UAN. And I think earlier this spring, you saw a pretty wide kind of price disparity on an N equivalent basis between UAN and urea. That since narrowed somewhat. Maybe talk about what you're seeing with customers, if that price spread has really driven some switching between the products and how you think about that premium moving forward.
Christopher D. Bohn - Senior Vice President-Supply Chain: Yeah. So the spread that we saw was driven by a couple of different issues, and ammonia stayed fairly steady from Q4 into Q1 and now through Q2. But it was urea that we saw a worldwide drop and again, as we mentioned earlier, driven by the excess of Chinese exports and the imports that arrived into North America. UAN, with the fill programs that we've put in place and then the subsequent sales, I'd say, blocks that we did in Q4 and into Q1, we're able to sustain the price level of UAN. We believe in UAN. It's got a, we believe, a pretty positive future not only for this year but in the future years, just because it's such a great product and its versatility agronomically. And so we believe that the retail as well as the farmers segment, will continue to be attracted to that because of the advantages it offers to the farmer. And they're willing to pay more for it. And so, yes, it has narrowed for two reasons. UAN has come off a little bit as we've gone through Q2; and urea has come up. And so – but the premiums in market on the retail level to the farmer has stayed pretty consistent. It's really on the NOLA and the inferior (30:26) production or the producer to the retail and wholesale segment that was pretty wide. Regarding switching – and we talk about this each year – we haven't seen a lot. As I mentioned, we have – probably, we will not hit the record ammonia level that we did last year, just due to the fact or the impact of less inventory available to sell. That being said, ammonia, even at a price spread to urea and UAN has been – it's been a positive six months or at least, now we're in the fifth month – but a positive two quarters. And I think we're going to see that for both urea and UAN also as we go forward.
Adam Samuelson - Goldman Sachs & Co.: All right. Great. I appreciate the color. Thanks.
Operator: And our next questions come from the line of Chris Parkinson from Credit Suisse.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Thank you very much for taking my call. You started the year with lower ammonia inventories, and you mentioned the first half should be lower in terms of deliveries versus the first half of 2014. But given the recent price action in Midwest ammonia and also strong April plantings and some key anhydrous states, can you just give any color on how you're positioned to further benefit from your production versatility, specifically, versus urea?
W. Anthony Will - President, Chief Executive Officer & Director: Well, Chris, I'll give you just some high level and then I'll ask Bert to further opine on topics that I missed. But if you go into the segment results, even though there's great performance that we've had on our ammonia business this year, our profitability per nutrient ton is better on the upgraded products than it is on ammonia. So to the extent that we can upgrade ammonia into urea and then further upgrade it into UAN, every time we upgrade ammonia, we get more margin for those same molecules of nitrogen. So that's a better decision for us. So in some ways, us continuing to run our upgraded plants as hard as we can has a double benefit. The first one is we get more margin on the products that we're upgrading to. And the second one is it means that you don't get sloppy in terms of the total amount of ammonia that's out there, which means that's it's a tighter ammonia market. And the prices then are that much higher on ammonia as well. So it's kind of the gift that keeps on giving. Bert, you have any other...
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: I think relative to the issue or specific to ammonia, this year, we had just a great run in terms of how it began in the South, and then we had some weather issues. But the Western Corn Belt kicked off with Nebraska running very, very hard. And then as it moved east into Iowa and Illinois, that's when the North started kicking off in North Dakota and Canada, which is still going very well. And so it allowed us, for the distribution assets for that incremental ton, to get it in market and focus. This is where our supply team did a great job, and the distribution team running 24/7, putting the product in some specific terminals with the pipes and our barges and having product available. And that was probably one of the key success factors for this period.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. And just my second question would be just when you look at the volatility of Eastern European supply over the last, let's say, 12 months or so, can you just address your own in-house views on some of the oil and (33:54) contracts there, the timing of it, potential new agreement as it pertains to ammonia? I understand, obviously, only a handful of these producers use those type of contracts, but just any color there would be appreciated. Thank you.
W. Anthony Will - President, Chief Executive Officer & Director: So a lot of those contracts, Chris, are somewhere in the six to nine months long, a few of them a little bit longer than that. The other issue around kind of deepwater ammonia or NOLA ammonia, that's relevant for us, I guess, and largely only in two ways. And while occasionally, we will do an export ammonia cargo that then has to compete on the deepwater ammonia market, generally, the places where it really comes into play is the price at which we buy ammonia out of Trinidad and then the turnaround and the price at which we sell it to Mosaic in Tampa. The deepwater ammonia price doesn't really affect the in-market ammonia price too much because there's no availability, really, for traders to be able to move ammonia up and into Corn Belt because they don't have the storage assets. So it doesn't affect really our ammonia business that much, other than on the industrial side. But...
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Yeah, Chris. The other thing is just looking at nitrogen more broadly and thinking about urea. And if you look at slide nine in our deck, it's got our updated version of the cost curve for urea. And what you'll notice about that versus prior cost curves that we were showing when oil prices were at $100 a barrel is that some of the smaller columns related to Eastern Europe and Western European production have moved left from where they had been before to reflect the fact or to reflect the effect, to the degree there is an effect, of reduced oil prices on the ability to produce. But when you step away from those movements, you'll see that, A), those columns are not very thick on the graph; and, B), at the end of the day, the marginal producer still is the anthracite coal producer in China. And that sort of remains unchanged. So as we think about oil prices and the effect that they really had in our business, the answer to that is not very much.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thank you very much.
Operator: And our next question comes from the line of Ben Isaacson from Scotiabank.
Carl Chen - Scotia Capital, Inc. (Broker): Hi. This is Carl Chen stepping in for Ben. Thank you for taking my question. So just wanted to circle back with regards to your expectation for the spring. How much of the Q4 pent-up demand do you expect to be shifted into the spring of this year? And looking forward, how should we think about the summer fill program given the limited producer inventory?
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Okay. The expectation for the first half is very positive. We're projecting 89 million to 90 million acres of corn, and we're seeing healthy applications. So above 180 pounds per acre for corn, and you're seeing possibly some switching in the southeast. It's been very wet in that area, but that corn acreage area is pretty small. Positive rice acres coming in. And so the expectation for us in terms of how the rest of the quarter, Q2, will progress, we believe that inventories will come out of the quarter low for all products. And we think the industry will be in the same position as well as the wholesale and retail sector. And that will set up then a positive start to the fill season. We don't really anticipate a fill season for urea. We've never really done that. It's more as the market progresses, and again, as we've mentioned earlier, it's more of an internationally driven area. Ammonia, as I mentioned in my remarks, we are bringing on the production in Q3 and Q4 for the expansions in Donaldsonville. And so the excess ammonia or the extra ammonia that we would have put out into a fill program probably will not be put out or the degree that we have in the past. And then we will prepare for Q4. For fill, then, focused on the last product, would be UAN. And traditionally, we've had very successful fill programs that are driven by the need to logistically move the product into place with our retail customer base. And we're working with them. We'll start probably working on that in June with an expected later period start. And we think it'll go well.
Carl Chen - Scotia Capital, Inc. (Broker): Great. Thank you.
Operator: And our next question comes from the line of Matthew Korn from Barclays.
Matthew J. Korn - Barclays Capital, Inc.: Good morning, everybody. Dan, congratulations again on the new title.
Daniel Swenson - Treasurer: Thank you.
Matthew J. Korn - Barclays Capital, Inc.: Sure thing. Couple questions for you. First, if we're going to hover around this 89 million-acre level of corn planting here in the U.S. and that effectively caps the total demand for nitrogen here. What steps do you need to take, do you think, to maintain your edge in distribution that we've talked about, if this really becomes a matter of market share, ex your expansions? Are there any partnerships or tie-ups or others asset investments that you're going to need to do, particularly, if we get competitors' projects in the Midwest starting up in 2017, 2018?
W. Anthony Will - President, Chief Executive Officer & Director: Good morning, Matthew. Couple of things, so even after all of the capacity projects that are in flight come on stream, so the most notable of those are our two projects. North America will continue to import about 20% of our total nitrogen requirements. So really, what we're doing is, for the most part, kicking out the majority of imported products. Now we will periodically do an export cargo here or there, but North America will continue to be an import-driven marketplace for the foreseeable future. We have entered into, as you said, a couple of longer-term, more partnership kinds of relationships with companies like Mosaic for ammonia and Orica on ammonium nitrate supply. And so those are things that we continue to evaluate and look at. But day in and day out, we don't see in the near term there being a dramatic change in the way that we go to market and the way that we do business. We also have the largest, most expensive distribution asset base in North America. We intend to continue to leverage that to full effect. Bert, do you have any other sort of thoughts?
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Yeah. I think going back to – even if acres have been capped and, actually, over the last five years, we've seen a fairly narrow band of corn acres from 90 million to 98 million. And even in the 98 million year, not all of that was planted. So I'd say we're probably in a 90 million to 95 million acre band. And so we've effectively been capped. And so where that goes then is our product mix and where we take our products, how we move our products, what product we're producing, the growth of DEF and the whole industrial side has been positive to CF. How we've moved our contracts with the Mosaic contract and the Orica contract moving to some long-term contracts that secure the liability of some of our ammonia as well as ammonium nitrate movement. And as Tony mentioned, just how we seamlessly move products through the market, how we can store and bridge different markets, it maximizes our efficiency. And the last two things are our people. We think we have a great team that are working with our customers to be able to move our products. You mentioned distribution. Some of our industry colleagues have focused on gaining distribution in different markets in Brazil or India or different places. I'd say at this point, we're not looking at that, but we have great relationships out in the world and we'll continue to move our products.
W. Anthony Will - President, Chief Executive Officer & Director: Matthew, one other thing, which is global demand for nitrogen is growing at about 2% per year. A lot of that, at least with respect to the U.S., is going to be on the industrial side, in particular, DEF. But there are few other places where that will continue to grow as well. And so even though nitrogen from an ag-application perspective may be relatively constant, there are other places that we're looking to, to be able to move that product into. So it's nice to be participating in a market with pretty sustained overall growth characteristics on a global basis. That's a good dynamic to be in.
Matthew J. Korn - Barclays Capital, Inc.: Thanks, John (sic) [Tony] (42:36). Then let me follow up with this, then. How many tons of product are you currently selling into the non-ag market? Because I noticed your mention of good sales into the emissions abatement market, I was wondering if that's a short-term bump from the new MATS standards or something else and whether that should be ongoing.
W. Anthony Will - President, Chief Executive Officer & Director: I mean think about it as kind of two-thirds, one-third, in rough order of magnitude. It's about two-thirds into the ag market and about one-third into the industrial and other kinds of application. Now embedded in industrial, we would put the ammonia contract with Mosaic. We'd put the ammonium nitrate contract with Orica. Those are clearly non-ag-related sorts of contracts. So you bundle all that together, it's about a third of our business.
Matthew J. Korn - Barclays Capital, Inc.: Thanks very much.
Operator: And our next question comes from the line of Mark Connelly from CLSA.
Mark W. Connelly - CLSA Americas LLC: Thank you. Tony, as you think about the new UAN capacity and the rest of the capacity at Donaldsonville, do you anticipate having a ready market for all that capacity at the beginning? I guess I'm trying to think about the competitive dynamic with the imports at the new OCI plant and how much the market has to adjust. And related to that, how do you think about the importance of that plan in the context of the overall expansion at Donaldsonville?
W. Anthony Will - President, Chief Executive Officer & Director: Yeah. Thanks, Mark. So one of the things we did at D'ville is to build a pretty big acid plant, 1,500 tons a day. That gives us an opportunity to really grow into that acid plant as the market continues, on a global basis, to develop and use more UAN. And we are seeing signs of global growth in demand and acceptance of that product in Latin America and other places as well. So we expect UAN to be kind of a product that continues to get traction on the global stage. But we also put in the capacity to be able to granulate 100% of the new urea plant and basically turn the acid plant off if we wanted to. So we've got terrific product flexibility in terms of configuration of mix coming out of D'ville going forward. And our belief at the beginning was we won't be running the acid plant full out from a UAN perspective, and we'll be able to dial it up and down as the market requires. But I think right now, between the various UAN capacity additions coming online in the U.S. with Weaver and then D'ville, that takes up most of what the U.S. imports in the way of UAN. There's still a little bit of headroom there. But we can dial that up and dial it down as needed. We are also evaluating other uses for that acid plant, whether it be industrial sales of nitric acid to other people and so forth so we can get full asset utilization out of that investment. But I think it's a critical piece overall in terms of our network because it gives us a lot of flexibility to be able to go urea, go UAN and move the product into the interior and/or export it as market conditions warrant.
Mark W. Connelly - CLSA Americas LLC: That's really helpful. Thank you.
Operator: And our next question comes from the line of Michael Piken from Cleveland Research.
Michael L. Piken - Cleveland Research Co. LLC: Yeah. Good morning. I just wanted to touch base a little bit on Trinidad and how you see the gas availability issues playing out over the next couple of years. And then second, sort of the follow-up question is, as your supply agreement with Mosaic kicks in, how big of a deal is the Trinidad negotiations with the phosphate manufacturers going to be in terms of determining the cap on (46:39) global ammonia prices? Thanks.
W. Anthony Will - President, Chief Executive Officer & Director: So, good morning, Michael. I'll answer the second question first, and I'll kick it over to Chris to talk about Trinidad gas. But on the Mosaic side, the Trinidad product that we moved to Mosaic, I believe that contract runs through 2018. And there's a potential to extend that as appropriate from both sides. Now that contract, we're basically buying product out of the partnership in Trinidad at a market-based price and then we're selling it to Mosaic at a market-based price. As Dennis said, we are getting 100% of the profit; it just doesn't show up in the ammonia segment. It shows up below the line in the equity interest in subs. And so that one is very much at play with respect to what's going on in the global ammonia marketplace and the pricing. The agreement that we have with Mosaic for production coming out of the Donaldsonville plant is on a gas-plus basis to guarantee us a mid-teens kind of return on our investment at Donaldsonville. So what pricing happens at Tampa or the Gulf or anywhere else is irrelevant with respect to the Donaldsonville ammonia agreement, and that's the one that starts on January 1 of 2017. So that's the Mosaic piece. And then, Chris, do you want to handle the Trinidad gas?
Christopher D. Bohn - Senior Vice President-Supply Chain: Yeah. Michael, on the Trinidad gas, in the near term here throughout 2015, our expectation is to see somewhere averaging around 15% to maybe 20% of gas curtailment. There'll be peaks and valleys based on that. A lot of that is based on when turnarounds are going. If we know there's going to be a large gas curtailment, the producing players down there are managing their turnarounds to be during that period, so others aren't affected as much. But we would expect for the remaining part of the year to see that type of gas curtailment.
Michael L. Piken - Cleveland Research Co. LLC: Okay. Terrific. Thanks. And then just one last question. If urea prices do roll over in the summer and return to levels that we saw a month ago, I mean what type of ability do some of the international producers have to flex capacity between ammonia and urea? Or do you think the guys who produced urea are still going to remain producing urea? And I'm thinking the non-Chinese producers in this instance. Thanks. Bye.
W. Anthony Will - President, Chief Executive Officer & Director: Yeah. Michael, I'll give you quick thoughts and then ask Bert to chime in as well. I mean producers, generally speaking, always have the option of not upgrading into urea and trying to sell ammonia. The issue is there's a relatively fixed amount of demand on the sort of deep-sea ammonia-traded market. And you start bringing on too much additional supply into that marketplace, and you'll see a pretty quick price drop. And so – and also, again, if you kind of go back and look at how we do segment reporting by products, we get more margin per nutrient ton for urea, even at prices in sort of low $300s than we do for in-market ammonia at $570. So there is a pretty healthy upgrade margin for people moving ammonia into urea, and then you've got a much more liquidity in terms of the urea-traded market than you do in ammonia. So our view is the people that are making urea will likely continue to make urea even at $280 a short ton NOLA. It's just, there's still more margin available there than selling it at $450 or $425 deep-sea traded ammonia.
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Yeah. The only additional comment is you do have two different markets on ammonia with east versus west and what has been happening out of the AG with ammonia shipments in the east (51:05) and different values. But you also have to factor in – because ammonia is a little bit of a different bird with where the vessels are and how many vessels are committed to a certain area and the milk runs that they run. But we do see some positive developments in the caprolactam production, phosphate production, so the demand basis for ammonia should be there for both east and west. But I agree with Tony on the upgrades. And their storage facilities that they have to load deep-sea vessels, it's much easier and the value's there for them to continue to upgrade.
Operator: And our next question comes from the line of Brett Wong from Piper Jaffray.
Brett W. S. Wong - Piper Jaffray & Co (Broker): Hi, guys. Thanks for taking my question. Just wondering if you can talk a little bit about kind of the ag backdrop and kind of what you're seeing or expecting in terms supply and demand for corn and kind of ending stocks as we move through the year?
W. Anthony Will - President, Chief Executive Officer & Director: Bert, you want handle that?
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Yeah. So some good developments in terms of how we're seeing planting progress and the moisture profiles that are available as well as the weather patterns that are developing look very positive for corn development as well as soybeans if – we prefer corn, though, because of nitrogen demand. And so ending stocks, we've been in the 13.5% to 14% stocks-to-use ratio range. We expect with the trend-line yield of 165 to probably continue in that same vein, staying around the 13% to 14% basis level. You see some good demand for ethanol. We think that, that will continue to move forward as well as exports, maybe 1 billion gallons of ethanol for the year, maintaining that trend, 800 million to 1 billion. And so that works for good production levels. And so when you look at the price for protein and the values for DDGs and the values for ethanol and the ability to export that incremental gallon, it sets up a very positive demand trend for corn and, we think, higher planting levels. So I wouldn't be surprised, we've been in the 89 million to 90 million, to see actual corn acres be on the positive side.
Brett W. S. Wong - Piper Jaffray & Co (Broker): Thanks. That's really good color. Just then kind of switching to the buybacks, just wondering as you kind of get through the existing authorization, any discussions around a new repurchase authorization?
W. Anthony Will - President, Chief Executive Officer & Director: Yeah. We want to finish up what we have authorization for before we get into the next chapter. But again, I think if you look at the sustainable nature of the cash flow generation that we're producing – and in fact, even if you look at the margin structure of nitrogen or, said differently, the margin structure of North American producer of nitrogen, it's way above where the margin structure in the long-term outlook is for phosphate. And it's basically on par with potash. So until we start trading at a potash kind of multiple, given that the sustainable nature of our cash flow and our margin structure is equal to that of potash, you can assume that we will be in the marketplace buying our shares down because we just have a different view of, again, the sustainable nature of the cash flows than other people do. So even though we haven't gotten there yet, that's probably where we're headed next.
Brett W. S. Wong - Piper Jaffray & Co (Broker): That's great. Thanks a lot, Tony. Thanks.
Operator: And our next question comes from the line of Sandy Klugman from Vertical Research Partners.
Sandy H. Klugman - Vertical Research Partners LLC: Good morning. Thank you. A quick question. How do you think about the impact of precision agriculture on nitrogen demand? There were some reports from the past growing season that farmers were able to be more economical in terms of their application rates by using some of these advisory services.
W. Anthony Will - President, Chief Executive Officer & Director: So, Sandy, I'll give you kind of my two cents and then I'll turn it over to Bert, who's got more expertise in this area. But the way we view precision ag is, it's going to be more efficient use of the nutrients that are put down, which doesn't necessarily equate to less overall nutrients. It just means that you'll end up getting likely less losses to the environment and you'll get more yield for the nutrients that are put down. And so what that may end up leading to is that you get crop production in those areas that are best able to produce those particular types of crops. So for instance, corn in the U.S. will make a lot more sense when you're able to do consistently 180 to 200 bushels per acre than it does to try to raise corn in Brazil or sections of Brazil where you've got all kinds of logistical challenges and you don't get nearly the yield. So in terms of our home demand center here in our production area, we don't necessarily see that translating into a reduction in overall nutrient use. It's more a pickup in efficiency. But Bert, you want to...?
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: I think you're exactly right. It's a whole component for precision ag; seed protection, nutrients, timing. And we're working closely with the GROWMARKs, the Country Ops (56:44), the CPSs of the world, the Helenas. They're intimately involved with that, and it's the attempt to improve the financial performance of each farmer.
Sandy H. Klugman - Vertical Research Partners LLC: Okay. Great. And just a follow-up on an earlier question on industrial nitrogen demand. Apologize if you already answered this, but how do you see that one-third, two-thirds split evolving over the next five years? And in particular, how do you think about the longer-term market potential for DEF demand?
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Yeah. In terms of the rough, as Tony mentioned, one-third, two-thirds, I think that's a good place to be. If we see a different return profile to the industrial market, we'll be more aggressive in the industrial market. What we've done in the past from the last five years is we've moved from the Terra acquisition, we moved more into the agricultural market because that was to our advantage with our distribution assets and where our production assets were located. It was just a natural for us to leverage our platform. As we've grown and as we're adding capacity and as we've developed some relationships, again, with Mosaic and Orica, more of the industrial side was attractive. We improved that contract that we inherited from the Terra acquisition. DEF's got a very positive growth profile, both from integer and the industry forecasts as well as our internals. You're seeing dosing grades go from 2.5 now – after 2016 to 5.5 and project to possibly to 7.5. And so with that, with the efficiency gains that are achieved, as well as the positive emission impact, DEF probably has a very long runway.
Sandy H. Klugman - Vertical Research Partners LLC: Okay. Thank you very much.
Operator: Ladies and gentlemen, that is all the time we have for questions for today. I would like to turn the call back to Dan Swenson for closing remarks.
Daniel Swenson - Treasurer: Thank you. That concludes our first quarter earnings call. If you should have any additional questions, please feel welcome to contact me. Thank you for your time this morning.